Operator: Greetings. Welcome to ATA Creativity Global's Third Quarter 2024 Financial Results Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce Alice Zhang, with The Equity Group. Thank you. Alice, you may begin.
Alice Zhang: Thank you, operator. Good morning to all of you joining us from China, and good evening to all of you joining us from the United States. Please be advised that the discussions on today's call may include forward-looking statements. Such forward-looking statements involve certain risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. Please refer to the company's most recent SEC filings for a more complete description of the risk factors that could affect these projections and assumptions. The company assumes no obligation to update forward-looking statements as a result of new information future events or otherwise. Regarding the disclaimer language, I would also like to refer you to slide 2 of the conference call presentation, which is accessible via the IR section of ACG's website. A simultaneous audio webcast is also accessible via the IR section of ACG's webcast -- of ACG's website, including the replay which will be available for the next 90 days. ACG's Chairman and CEO, Mr. Kevin Ma will start this call, highlighting the company's third quarter and nine-months key operational and financial achievements. CFO, Mr. Ruobai Sima will provide an overview of financial and operating results for third quarter and nine-months 2024, expectations for the remainder of 2024 and full year guidance. President, Mr. Jun Zhang will conclude the prepared remarks with an update on the company's long-term growth strategy before opening the floor for questions. For those of you following the company slide presentation, please refer to the slides for further details. With that, I'll turn the call over to ACG's Chairman and CEO, Mr. Kevin Ma. Please go ahead Mr. Ma.
Kevin Ma: Thank you, Alice. Welcome everyone. Good evening to those in America. I appreciate everyone's time. As Alice mentioned, please refer to our earnings deck available on the IR site of our website as we go through our prepared remarks. During the third quarter of 2024, ACG continued to focus on providing quality service to our valued students and parents developing product and service offering tailored to our students growing and evolving needs, exploring new partnership with institutions within the art industry as well as seeking collaboration opportunities through different industries. As our last third quarter of 2024 was a strong quarter for ACG in terms of net revenues and student enrollment. We reported double-digit growth in net revenues and overall student enrollment rates. This is highlighted by strong student enrollment for our portfolio training programs as well as increased credited training [ph] hour deliveries during the period. For nine months 2024, we saw equal strong year-over-year improvement on net revenues overall enrollment rate and credit hour deliveries all increased by more than 20% compared to nine months 2023. Portfolio training service remains our main source of revenues contributing more than 70% of our total revenues for both third quarter 2024 and the nine months 2024. Within this part of the service, we continue to encourage students to sign up for project-based programs. As a result, this segment continues to account for the majority of our portfolio training services responsible for 70% of total credit hours delivered during the third quarter. Thanks to our continuous effort in developing various programs and offerings we are also seeing a growing interest in other parts of our service. Student enrollments for research-based learning and overseas study, counseling, increased by more than 20% compared to the third quarter 2023. For this summer our five projects included the second session of the United Nations Sustainable Development Goals Arts Boot Camp; two, intangible cultural heritage camps in China; one US campus tour; and two summer camps in London and Tokyo. In addition, for the first time since the pandemic apart from our usually online classes we also hosted the ACG Summer Lab, providing students with the opportunity to study in person with lecturers joining us from art institutions and the art field in general. We believe the capability to provide us with various experience is one of ACG's core competencies in the rich part [ph], which is built upon our continuous investments and close mentoring of the art change in academia and the industry, as well as a strong global financial network that allow us to be world-class resources. During third quarter 2024, we continued to expand our partnership network by establishing [ph] new strategic partnership with Leeds Conservatoire in the UK and also the [indiscernible] technology, which Jun will expand on later. With that, I will hand over the call to Sima for a detailed overview of our financial and operating results for the third quarter and nine months 2024 and our guidance for fiscal year 2024.
Ruobai Sima: Thank you, Kevin, and I will start with third quarter and nine months key financial metrics. Total net revenue for third quarter 2024 were RMB67.3 million, an increase of 13.1% from RMB59.5 million in third quarter 2023, which was primarily due to increased revenue contributions from research-based learnings and portfolio training services. Gross profit from third quarter 2024 was RMB30 million, an increase of 2.6% from RMB29.2 million in the third quarter 2023. Gross margin was 44.6% during third quarter 2024, compared to 49.2% in the prior year period. The decrease in gross margin was mainly a result of higher costs related to more teaching staff hired as compared to third quarter 2023 to accommodate increased numbers of students and the larger outsourcing costs related to research-based learning services. Total operating expenses was RMB47.7 million in third quarter of 2024, an increase of 28.4% from RMB37.1 million in the third quarter 2023. The increase was primarily due to an RMB5.4 million increase in sales expenses related to increased number of sales personnel and marketing events, as well as RMB5.6 million increase in general and administrative expenses related to increased professional fees and business expansion related investments. As a result, loss from operations in the third quarter 2024 was RMB17.6 million, compared to RMB7.9 million in the third quarter 2023. Net loss attributable to ACG during third quarter 2024 was RMB14.7 million, compared to RMB7.3 million in the prior year period. Turning to nine months 2024. Total net revenues increased 21.1% to RMB167.1 million from RMB138 million in the prior year period. The increase was primarily attributable to increased contribution from portfolio training, research based learning and overseas study counseling services. Gross profit for nine months 2024 was RMB77.6 million, an increase of 24.6% from RMB52.3 million in nine months in 2023. As a result of increased revenues during nine months 2024, gross margin slightly improved to 46.4% from 45.1% in nine months 2023. Total operating expense was RMB137.7 million in nine months 2024, an increase of 22% from RMB112.9 million in nine months 2023. The increase was primarily due to RMB14.4 million increase in sales expenses related to increased number of sales personnel to drive sales growth, as well as RMB10.5 million increase in general and administrative expenses related to increased professional fees and business expansion related investments. As a result, loss from operations in nine months 2024 was RMB60 million, compared to RMB50.6 million in nine months 2023. Net loss attributable to ACG in nine months 2024 was RMB49.4 million, compared to RMB42.2 million. Moving to the balance sheet highlights. As of September 30, 2024, we had RMB39.4 million in cash and cash equivalents; total assets of RMB459.4 million, total liabilities of RMB393.2 million; and total shareholders' equity of RMB66.2 million. Moving on to year-to-date enrollment trends. For nine months 2024, total student enrollment increased by 20% as compared to nine months 2023, supported by strong student interest growth in both ACG portfolio training and all other programs. Portfolio training student enrollment for nine months 2024 increased by 20.7% to 2,220 and all other program student enrollment for nine months 2024 increased by 19.1% to 1,523. Credit hours delivered for portfolio training services is historically higher due to seasonal reasons and students early start their portfolio creation work, in the second half of the year for enrollment in the following fall semester. For nine months 2024, credit hours delivered significantly increased by 28.5%, whereby time-based programs credit hour increased by 29% and progress-based programs credit hour increased by 28.3%. We remain committed to offering high-quality services across our business line and to students who seek guidance and support in their pursuit of study and career era. With that, let's move into guidance to full year 2024. We believe we are on track to achieve our full year 2024 revenue guidance for RMB233 million to RMB255 million, representing a year-over-year increase of 5% to 15% for full year 2023. Our belief is based on the strong enrollment trend, we are seeing and our ability to expand current services and offering. For the remainder of 2024, portfolio training services will continue to serve as the primary growth driver for our business as well as important student acquisition channel for our other business. I'd like to turn it over to Jun, who will expand upon our long-term growth strategy. Jun, please go ahead.
Jun Zhang: [Foreign Language] Thank you, Sima. Our growth strategy surrounds four main pillars: Organic growth; strengthening and expanding geographic footprint; launch of new services; and potential M&A opportunities. Starting with organic growth. As Sima mentioned, we have been encouraging students to enroll in our portfolio training services to join the project-based track, which offers more flexible and customizable programs based on student needs. The overall strong enrollment trend that we're seeing in today's market is also exciting. We see more students from portfolio training services showing interest in our value-added offerings, such as research-based learning and overseas study counseling services, resulting in increased student enrollments and hence, increased revenue contribution. The engagement of our teaching staff in sales and product design process has also helped us improve program quality and boost sales. We have expanded training center coverage in existing cities and concentrated regional resources on larger centers. For example, we expanded our Shanghai and Beijing centers to serve more students during 2024. We recently opened the ACG London Center, extending ACG services to our students who have been admitted to UK colleges and are just embarking on their overseas life. At the London Center, we provide academic assistance, student and an online networking events as well as to create support in addition to helping students settle down on their first few months of studying abroad. Innovation and introduction of new research-based learning programs have been crucial to growing that line of business. To that end, we actively invest and explore new trends in art from computer-based arts majors such as visual art, user interaction, gaming design and AI-generated content to new art themes and career options such as art therapists, green architecture, urban design and so on. We continue to extend our global reach through growing our domestic and international network of institutional partnership. In third quarter 2024, we signed a new institutional partnership with Leeds Conservatoire, a prestigious music conservatory in the UK, whereby Leeds Conservatoire lecturers will work with ACG in providing application insights and portfolio preparation tips to ACG students. In addition, we also recently initiated a strategic cooperation with Oasis Star Educational Technology to jointly promote the integration of art and artificial intelligence. Utilizing Oasis Star's AI technologies and cloud platform, we expect to introduce AI support in upgrading our existing offerings and service delivery model, fueling our long-term growth via better products and services to our students. This October, we again hosted the United Nations Sustainable Development Goals Arts Boot Camp, marking the third session of this series since we initially introduced it this May. We also hosted our Shanghai Fashion Week program in October, bringing students to forefront of fashion week for students interested in future study and career in fashion design and brand management. During October, ACG toured 10 cities in China as part of our awesome art education exhibition, inviting professors from institutions such as Rhode Island School of Design to give them speeches and share application tips and ACG alumni to share study experience and career advice. We remain focused on growing our student registration, expanding demographics from students who want to pursue overseas study opportunities to working professionals who look to expand their career opportunities and to the general public who are willing to explore multiple topics of art. ACG's mission remains to act as a trusted partner for our students regardless of where they are in their academic or career path. We're well equipped to do so and we'll continue to invest in our infrastructure and the teaching team to always make high-quality offerings available to our students. With that, operator, let's open it up for questions.
Operator:
Kevin Ma: ...directly to us or our Investor Relations firm, the Equity Group. We are always available to speak to investors, and I look forward to speaking with you or during our next earnings call. Thank you.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time. And thank you for your participation.